Operator: Good day, everyone, and thank you all for joining us to discuss Equity LifeStyle Properties Fourth Quarter and Year-End 2019 Results. Our featured speakers today are Marguerite Nader, our President and CEO, Paul Seavey, our Executive Vice President and CFO; and Patrick Waite, our Executive Vice President and COO. In advance of today's call, management released earnings.Today's call will consist of opening remarks and the question-and-answer session with management relating to the company's earnings release. As a reminder, this call is being recorded. Certain matters discussed during this conference call may contain forward-looking statements in the meanings of the federal securities laws. Our forward-looking statements are subject to certain economic risks and uncertainty. The company assumes no obligation to update or supplement any statements that become untrue because of subsequent events. In addition, during today's call, we will discuss non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to the comparable GAAP financial measures are included in our earnings release, our supplemental information and our historical SEC filings.At this time, I'd like to turn the call over to Marguerite Nader, our President and CEO.
Marguerite Nader: Good morning, and thank you for joining us today. I’m pleased to report the final results for 2019. We continued our record of strong core operations and FFO growth with an 8.2% growth in normalized FFO per share. The fundamentals of our business remain strong with demographic and economic trends creating tailwinds for future growth.While Baby boomers are our core customer for both manufactured housing and RV, we see a steady influx of younger customers. 2019 was the year marked by solid demand. Our MH portfolio increased occupancy by 401 sites for the year. We saw continued strength at our MH properties with a full-year rate growth of 4.7%. The rental program is being used as a trial prior to homeownership. It is a low barrier entry point into our community. The key to the conversion from a renter to a homeowner is community engagement. We finished the year with a conversion rate of 33%. Our RV Resorts including Thousand Trails performed well this year with a 6% overall growth in income.The demand is strong for RV sites across the country. We completed our 50th year anniversary of our Thousand Trails portfolio with a 4,000 member count increase and a 7% increase in annual revenue. Our RV Resorts are primarily dedicated to accommodating long-term customers, with 80% of our revenue coming from annual and seasonal customers. We have seen an increase in appetite for upgrades within our Thousand Trails portfolio. Our customers see the value in having increased access to our properties.Our product is in demand and the demographic trends are in our favor. Over the past five years, there has been a steady increase in Gen X and Millennial campers. The popularity of the outdoor lifestyle and increasing younger RV buyers and new unique accommodations in our properties including renting a tiny house or cabin should continue to contribute to growing demand for our offering.Our guidance for 2020 reflects the strength in our business. Excuse me, someone needs to go on mute, I believe. Operator? Thank you. Our guidance for 2020 reflects the strength in our business. Each market is evaluated to arrive at our proposed rental rate increases. The individual market surveys provide support for our views and incorporate all housing indication options in the local area. Our customers are increasingly completing their travel plans online.We have seen significant growth in online bookings driven by greater use of mobile devices to book a stay. Since the beginning of smartphone technology in 2007, we have increased our total online reservation activity to represent 43% of all transient RV bookings. Our marketing team is focused on eliminating point-of-sale barriers for our customers. Processes have been streamlined with a focus on conversion through self-service. In 2019, we increased our social media fanbase to over 650,000.Finally, I would like to thank our employees for delivering another great year in 2019 as well as a strong start to 2020. I will now hand it over to Paul to walk through the numbers in detail.
Paul Seavey: Thanks, Marguerite and good morning, everyone. I will review our fourth quarter and full-year 2019 results, update our full-year 2020 guidance and discuss our detailed first quarter guidance. Core portfolio NOI for the fourth quarter was in line with guidance and contributed to 5% growth for the full-year. Fourth quarter normalized FFO was $0.52 per share, a penny ahead of guidance.Full-year core community based rental income growth was 5.3% with 4.7% coming from rate and 60 basis points coming from occupancy. Our 2019 core occupancy increase included a gain of 387 homeowners. At the end of the year, rental homes represented 5.9% of our core occupancy.Fourth quarter core resort-based income growth was 5.3% compared to prior-year. During the fourth quarter, seasonal revenues were higher than expected and reflect strong demand for our Southern Resorts as we transition into the winter season. Full-year growth of 6% in annual revenues includes approximately 40 basis points from occupancy gained at properties with expansion sites.For the full-year, net contribution from our membership business was $4.1 million higher than 2018, an increase of more than 8%. Dues revenues increased 6.8% mainly as a result of a 6.3% increase in our paid member count. We continue to see strong demand for our upgrade products. During the fourth quarter, we sold 32% more upgrades than the prior-year, and the average sale price of our upgrades was approximately 6% higher than the fourth quarter of 2018.Core utility and other income was higher than guidance mainly because of insurance proceeds related to prior insured losses. As we've mentioned in the past, it's difficult to predict the timing of receipt of insurance proceeds during the claim settlement process.Fourth quarter core property operating maintenance and real estate taxes were approximately $2 million higher than guidance. Roughly half of that variance resulted from real estate tax increases in Florida. As I mentioned on our call in October, we received notices of assessed value increases and we appealed those assessments. Though most of the appeals remain open, we have accrued our estimate of the taxes for the properties impacted.Keep in mind that Florida sends tax bills in the fourth quarter for the full-year. So the accrual represents an adjustment for the full calendar year, even though the additional expense posted in the fourth quarter. Aside from the real estate tax increase, we experienced higher-than-planned repairs and maintenance expenses and utility expenses in the fourth quarter.In the fourth quarter, our core revenue growth was 5.3% and core NOI growth was 4.6%. Full-year core revenue growth was 4.7% and core NOI increased 5%. Our non-core properties contributed $7.5 million in the quarter and $24.2 million for the full year. Overall, the properties included in non-core performed as expected. Property management and corporate G&A were $21.7 million for the fourth quarter. Interest and amortization expenses were $26.3 million in the quarter.The press release and supplemental package provide 2020 full year and first quarter guidance in detail. As I discuss guidance, keep in mind my remarks are intended to provide our current estimate of future results. All growth rates and revenue and expense projections represent midpoints in our guidance range. Our guidance for 2020 normalized FFO is $426.7 million or $2.22 per share at the midpoint of our range. The main changes to 2020 guidance since our release in October, relate to updated core MH and RV annual revenues based on truing up rate and occupancy following the end of the fourth quarter. For the year, growth in core NOI before property management is expected to be approximately 5.5%.We have seen flat occupancy in our MH properties for 2020. Base rent is expected to grow 4.4% with 4% from rate and 40 basis points from occupancy as we realize the full year impact of sites filled in 2019. In our core resort business, we project revenue growth of 5%. We see continued strong demand for our RV properties, and we continue to see opportunities to increase rate as we focus on occupancy across the portfolio. We expect 5.5% growth in our annuals for 2020.Our full-year guidance for seasonal and transient has been adjusted to reflect strong seasonal demand that we anticipate will have an impact on sites available for transient stays in the first quarter. We have reviewed our first quarter reservation pace for our seasonal and transient businesses, and incorporated that pacing into our guidance update. Our membership business, which includes annual membership subscriptions, membership upgrade sales, and sales and marketing expenses, shows a net contribution of $57.3 million. We've increased our upgrade sales assumptions based on the continued success of this program. Page 15 of our supplemental package shows aggregate revenue generated by our Thousand Trails properties. We project $118.6 million in 2020 from membership subscriptions, annual seasonal and transient stays, upgrade sales and other income.The midpoint of our core utility and other income guidance is approximately $95.1 million. The increase from prior guidance reflects the pass-through income we expect as a result of the real estate tax increases I mentioned earlier. This revenue increase is offset by our increased real estate tax expense, and therefore has no impact on core NOI.Core expenses are approximately $421.8 million at the midpoint of our guidance range. The main driver of the increase from prior guidance is real estate tax expenses I just mentioned. Keep in mind that the increase was effective for the full-year 2019, but the expense adjustment was booked in the fourth quarter. Quarterly guidance for 2020 assumes the increased expense will be accrued each quarter. Membership sales and marketing also increased along with the increased revenue assumptions. As a reminder, we don't make assumptions regarding expenses we may incur to recover from property damage events.Our guidance includes $11.9 million dollars of NOI from our non-core properties. As a reminder, our properties in the Florida Keys will be included with our core properties during 2020. We expect $96 million in property management and corporate expenses in 2020 and $10.2 million of other income and expense. The full-year guidance model makes no assumptions regarding capital events and the use of free cash flow we expect to generate in 2020. Our first quarter normalized FFO guidance is approximately $114.8 million or $0.60 per share at the midpoint of our guidance range. We expect our core to generate revenue growth of 5.4%, expense growth of 4.9% and NOI growth of 5.7% in the first quarter. Our first quarter core base rent growth of 4.9% assumes a 4.3% rate increase and 60 basis points related to occupancy gains we achieved in 2019. We do not assume incremental first quarter occupancy gains in our guidance.With the first month of the quarter almost complete, we expect growth of 6% from our core RV business in the first quarter. Revenues from annuals are expected to grow 6.6% in the quarter. As previously mentioned, our current reservation pace is driving our expectation of 6.8% and 2.8% growth in seasonal and transient revenue, respectively in the first quarter. First quarter guidance assumes core expense growth of 4.9%. The main drivers of expense growth are real estate taxes and payroll. As a reminder, our annual insurance renewal occurs April 1st. So expense growth in the first quarter includes the impact of our 2019 renewal last April. We expect to provide an update on our 2020 renewal during our call in April to discuss first quarter results. We expect our non-core properties to contribute approximately $2.7 million of NOI in the first quarter, consistent with prior guidance.I'll now provide some comments on the financing market and our balance sheet. Current secured debt terms are 10 years at coupons between 3.5% and 4.5%, 60% to 75% loan to value and 1.4 times to 1.6 times debt service coverage. We continued to see strong interest from life companies GSEs and CMBS lenders to lend at historically low rates for terms 10 years and longer. High-quality age-qualified MH assets continued to command best financing terms. We have approximately $48 million of secured debt maturing in 2020.At year-end, our $400 million line of credit had $160 million outstanding. Our ATM program has $140 million of available liquidity. Our weighted average secured debt maturity is more than 13 years. Our debt-to-adjusted EBITDA is around 4.8 times and our interest coverage is 4.9 times. We continue to place high importance on balance sheet flexibility, and we believe we have multiple sources of capital available to us.Now we would like to open it up for questions.
Operator: Certainly. [Operator Instructions] And our first question comes from the line of Nick Joseph with Citi.
Nick Joseph: Thanks. It looks like it was a quiet fourth quarter in terms of transactions. So just wondered if that is a result of the timing of closing of deals or if it's anything on the size of the pipeline versus what you've talked about in the past?
Marguerite Nader: Sure, Nick. So, yes, you're right. We didn't close on any new communities in the quarter, but we have a very engaged acquisitions group that's consistently underwriting deals. We are in active discussions with sellers and have properties in all stages of the acquisition process. And -- but consistent with what we've seen over the last few years, there's a lot of interest for our product type. So there are some options going on out there. But at this time, we didn't close anything in the fourth quarter.
Nick Joseph: Thanks. Maybe just specific to Marinas. Are you seeing any opportunities to add exposure there? And if so, is that something that you would look to do?
Marguerite Nader: Sure. I mean, we -- the Loggerhead portfolio that we bought has continued to operate in line with our expectations. As you know, 80% of that revenue is from annual cash flow, and the occupancy rate was really high. And we're pleased with the demand as we still -- as we see, and don't have very many vacant sites as we head into our high season now. There are certainly opportunities, but each Marina is unique and some have a highly transient base with a significant amount of ancillary revenue and we're focused on assets that fit our acquisition criteria and we'll close on deals that make sense to us in our closer to that Loggerhead portfolio than not.
Nick Joseph: Thank you.
Marguerite Nader: Thanks, Nick.
Operator: Thank you. And our next question comes from the line of Drew Babin with Baird.
Drew Babin: Hey, good morning.
Marguerite Nader: Good morning, Drew.
Drew Babin: Just wanted to dig in a little bit more on transient. I think for the past few quarters, the pace of transient RV revenue growth has been a little more have CPI plus. And I guess, you mentioned in the past, that there is kind of a strategic move to push more of that business either into longer-term channels, whether it'd be seasonal or annual or just in the membership program. I guess, is it strategic what we're seeing? Or is there anything in the booking pace, it might indicate that just that pace is kind of normalizing due to economic factors?
Paul Seavey: Well, I think -- I think couple of things we keep in mind. We've long talked about the limited visibility on the transient business. The first quarter represents about 20% of the total. So it's not the biggest quarter for us. And as we think about the winter season, the snowbird customers that we're attracting in that season, we have as I mentioned in my remarks seen increased demand in the seasonal side, which is driving a bit of the reduction in the expectations for growth in the transient just in the first quarter. But definitely 65% roughly of that transient revenue comes in the second and third quarters, so as we get through the rest of the year, we'll be watching that activity closely.
Marguerite Nader: And Drew, from a strategy standpoint, I think we prefer to keep our transient business to a small percentage, really spread across many properties, so that we provide access to new customers, who may decide to stay with us on a longer-term basis, because we're really focused on that conversion rather than the transients today.
Drew Babin: Great. That makes complete sense. And just one more from me, the tick up in recurring CapEx in the first quarter was pretty large year-over-year. I think you've talked about before using free cash flow to kind of fund revenue enhancing CapEx and things like that. I guess, was there anything lumpy in the first quarter or are those year-over-year increases in CapEx likely to persist through the rest of the year?
Paul Seavey: I think for 2019, I'll just talk about that full-year, we had $52 million in recurring CapEx, and we define that recurring CapEx as items that exclude site development related to placing new homes in our properties, our expansion investment, the storm-related and other non-recurring. I'll say the team is focused on conservation efforts. And in 2019, we identified opportunities to invest in infrastructure improvements mainly electrical, water, sewer systems. We think this is going to reduce our energy usage and resource consumption and potentially reduce utility expenses going forward.
Drew Babin: Okay. Appreciate the color. That's all for me. Thanks.
Marguerite Nader: Thanks, Drew.
Operator: Thank you. And our next question comes from the line of Samir Khanal with Evercore.
Samir Khanal: Hey. Hi, good morning, everybody. So, Paul, when I -- I know you're forecasting expenses a lower than 3% now. I guess, with the revision yesterday, M&A, what gives you that confidence that rates achievable, because I look at four -- when you look at last year in 2019, you were up over 4%. You started the year with being up 1%. So is there something that kind of gives you that confidence? Just trying to see if there is a sort of pass-through to the customer or anything that we're missing here?
Paul Seavey: I think, a couple of things to keep in mind; one, just as you look at the rate of increase, we provide our guidance in the fall of the prior-year. So fall of last year, and we didn't have full-year actual results. So though, it looks like there is a reduction because the rate went down, there is actually an increase in overall expenses expected in the budget for next year. As it relates to that 2.9% growth expectation, the assumption is the same as our 10-year average core expense growth rate. We have discussed in the past volatility resulting from cost to recover from storm events, as well as utility and payroll pressures. That long-term average of 2.9% includes the volatility associated with those items and provides a benchmark for our expectations of core expense growth.
Samir Khanal: Okay. Got it. And I guess as a follow-up or second question here, you guys weren't active on the acquisition side as we kind of heard before. I know you're active on looking at assets but can you maybe even just elaborate a little bit talk about sort of pricing of assets, sort of what you're seeing out there?
Marguerite Nader: Sure. I mean the pricing, I think first in 2019, we closed on about $150 million of transactions, roughly in 5%, 5.5% cap range. And I haven't seen, there has been some compression in that -- in those cap rates over the last year, but it's consistent. And so we are -- I would say, more globally, while we don't talk about specific deals. The industry really has progressed to a point where broker market is now institutional grade and that means really the vast majority of the deals are professionally marketed with a bidding and an auction process. So as means to say, we're involved in all of that activity.
Samir Khanal: Got it. Okay, great. Thanks so much.
Marguerite Nader: Thanks, Samir.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of John Pawlowski with Green Street.
John Pawlowski: Thanks. Paul, maybe just a follow-up on the expense growth comments. Could you share what your base case assumption for the insurance premium increases for 2020?
Paul Seavey: Yes, we have call it, mid-teens assumption in there for that increase. Last year, we saw closer to 20% increase. We don't have great visibility, because we're really in the early stages of those discussions, but that's what our assumption is.
Marguerite Nader: And I think John, Paul mentioned that that would be something we would update on the next quarter's call, because it comes up -- the renewal comes up at the end of March, beginning in April.
John Pawlowski: Sure. Okay. And then a quick one on the site counts at the end of the year. I think this is the first time in several years where you saw a slippage from annuals going down and seasonal and transient going -- or at least transient going up. Just curious if you can give any color on why the transient account mix actually increased this quarter?
Paul Seavey: I think that John, that's really a function of us truing up -- we true up on an annual basis, those numbers. And as we went through and identified, there were some changes in just the mix broadly across the portfolio, but I don't think it's reflective of anything as far as strategy.
John Pawlowski: Okay. And then last one from me. Marguerite or actually Patrick, I actually want to go back to the dispositions of the five all age communities this time last year in Indiana and Michigan. I understand there from the hometown portfolio, and they are lower quality. But curious if you can give some comments on what specifically about the underlying real estate and the dirt in those markets that looked like longer-term laggards from our lens, from miles and miles away. There is still some assets you own in like a Minnesota, Wisconsin, a rural Pennsylvania that shares some similarities to the lower growth Indiana and Michigan, at least than demographic story. So what's specifically about those five assets sold a year ago cause you to sell them?
Marguerite Nader: Sure. So for those they were all age properties and there were a lot of moving parts that really don't exist on the age restricted side. And looking at the local areas around those properties, and as we did that and we did an analysis, we thought it was a good time. And if you remember, as we did that in January of last year, there was also a trade into Florida location.So it was really looking at -- I think it was about $100 million transaction, a disposition and $100 million acquisition roughly covering it. So it was our view that we thought we could grow more in that space in the acquisitions that we bought, and those were properties that were -- you're correct that they were from the hometown transaction and something that we had been considering selling for a while. And if I remember correctly, I think they were inside of some debt pool that had just -- kind of the window had just opened, so it was an appropriate time for us.
John Pawlowski: Okay. Thank you.
Marguerite Nader: Thanks, John.
Operator: Thank you. And our next question comes from the line of Steve Sakwa with Evercore.
Steve Sakwa: Hi, good morning. I guess for Paul or Marguerite, as it relates to insurance, not so much on pricing, but are you seeing anything from the insurance companies as it relates to actual coverage of properties and whether there is any sort of change in the types of properties. I guess, I'm thinking more specifically, places like the Florida Keys and given the storms that have come through and just rising sort of sea levels in general, is there anything that's come out of the insurance companies about coverage and deductibilities, that's a little bit more of a systemic change?
Marguerite Nader: I mean, certainly, the carriers are very familiar with our portfolio. They’re very familiar with the storms that have taken place certainly within our portfolio, and a more larger global effect of what's happened. But we do not see the carriers having other than the increase as we've discussed here, we don't see them stepping away in any sense. They’re engaged. They understand our asset class more than they did before. So I think that's a positive. And it's always helpful for us to have some storms behind us. We had a good year in 2019, and we hope to continue that trend.
Steve Sakwa: Okay. Thanks.
Marguerite Nader: Thanks, Steve.
Operator: Thank you. And our next question comes from the line of John Kim with BMO Capital Markets.
John Kim: Thank you. Can you provide an update on what you delivered as far as expansion sites in 2019, and also what you're expecting for this year?
Patrick Waite: Sure, John. It's Patrick. For 2019, we delivered 723 sites that was six projects about equally split between MH and RV. We had another two projects with more than 200 sites come online in the first few weeks of January. So call it roughly 1,000 sites delivered for 2019. And as we look forward to 2020, we expect somewhere in the neighborhood of 10 to 12 projects with 1,100 to 1,200 sites. That will be a little bit overweight MH, but it continues to be a mix of MH and RV.
Marguerite Nader: And just as a reminder, John, we have those 5,000 acres of vacant land adjacent to our properties. So we have room to continue to grow.
John Kim: Okay. So the 1,100 to 1,200 being delivered this year, does that include what you delivered in January?
Patrick Waite: The 1,000 overall includes what we delivered in January. So that would be 2019. And then the 1,100 to 1,200 is a look forward to 2020 and that excludes the contribution for the overall 1,000 where we're looking at -- the first few weeks of January is inclusive in 2019.
John Kim: So for the 1,100 to 1,200, would that include January 2021 deliveries? Or was this year just a unique year?
Patrick Waite: No.
John Kim: Okay. And I think, Paul mentioned that this contributed 40 basis points to revenue growth last year. Can you provide that same figure for what it will contribute this year revenue growth?
Paul Seavey: Yes, the one thing to keep in mind as I provide that on the MH side, we do hedge out that occupancy. So we exclude that incremental occupancy gain from our guidance assumptions. But we do have in 2020 about similar number, 40 basis points, about 20 basis point contribution to NOI overall inside the core coming from those expansion sites.
John Kim: And that's to overall growth as well as same-store results?
Paul Seavey: That's to same store and to the core.
John Kim: Okay. And then I know -- just a follow-up on the investment activity for, I was wondering for this year, can you provide any color on what you expect as far as the volume of acquisitions in 2020 versus last year and also the mix? Is it going to be a similar mix of Marinas RV and MH?
Marguerite Nader: Yes, I can't really provide you a color on where we're going to end the year in 2020 on acquisitions. I would say it would be an even mix between RV and MH and to the extent there is a Marina deal or portfolio that looks good and is similar to the assets we already own. We would be interested in that, but I would think it skews more towards the RV and MH.
John Kim: Got it. Okay. Thank you.
Marguerite Nader: Thanks, John.
Operator: Thank you. And since we have no more questions on the line. At this time, I would like to turn the call back over to Marguerite Nader for closing comments.
Marguerite Nader: Thank you very much. We look forward to updating you on next quarter's call.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating and you may now disconnect.